Operator: Good morning, and welcome to the 1-800-Flowers.Com Fiscal 2024 Second Quarter and Year End Earnings Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Andy Milevoj, Senior Vice President, Investor Relations. Please go ahead.
Andy Milevoj: Good morning, and welcome to our fiscal 2024 second quarter earnings call. Joining us today are Jim McCann, Chairman and CEO; Tom Hartnett, President; and Bill Shea, our CFO. Before we begin, I'd like to remind you that some of the statements we make on today's call are covered by the safe harbor disclaimer contained in our press release and public documents. During this call, we will make forward-looking statements with predictions, projections, and other statements about future events. These statements are based on current expectations and assumptions that are subject to risks and uncertainties, including those contained in our press release and public filings with the Securities and Exchange Commission. The company disclaims any obligation to update any of the forward-looking statements that may be made or discussed during this call. Additionally, we will discuss certain supplemental financial measures that were not prepared in accordance with GAAP. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures can be found in the tables of our earnings release. And now, I'll turn the call over to Jim.
James McCann: Thanks, Andy, and good morning, everyone. Thank you for joining us. This morning, I'll begin with a brief overview of our second-quarter performance and then turn it over to Tom, who will provide a business update. We will conclude with financial review from Bill, and then we'll open the call for your questions. Heading into the second quarter, we expected our sales trends to improve, our gross profit margin recovery to continue and our operating expenses to decline. Our performance was essentially in line with our expectations, as our gross profit margin recovery and expense optimization efforts helped to offset what turned out to be a softer than anticipated consumer environment. Most notably, our gross profit margin expanded nicely. And as Bill will highlight further, our pace of margin recovery is happening at a good rate. This was our fifth consecutive quarter of year-over-year margin expansion and we are well on our path to returning to our historical mean annual gross margin rate in the low 40% range. Our gross profit margin is benefiting from a combination of a reversion to the mean of certain commodity costs and our work smarter initiatives that are centered on operating more efficiently. As Tom will highlight further, we are regularly evaluating opportunities to improve our top line through our relationship innovation initiatives and this performance will only further be buoyed by the improvements we are seeing in our gross and operating margins. Before I ask Tom to provide the business update, I did want to take this opportunity to highlight a new organization that we are very proud to partner with this holiday season. As many of you know, Smile Farms is our signature philanthropic partner whose mission is to create meaningful work opportunities for people with disabilities. Their work generates purpose and pride, enhances life skills, and fosters socialization. This holiday season, we are proud to partner with another organization whose mission is closely aligned with that of Smile Farms. During this past holiday season, we partnered with a non-profit called the First Step Staffing to employ approximately 350 individuals in our Atlanta distribution facility. First Step Staffing is an organization that provides employment opportunities and resources to homeless individuals who want to reenter the workforce and improve their lives. They not only provide employment opportunities, but they also provide additional support services such as providing transportation to and from work to position these individuals for success. They are a terrific organization that does great work and we are glad to be able to partner with them. Now, I'll turn the call over to Tom for the business update.
Thomas Hartnett: Thanks, Jim, and good morning, everyone. Today, I'll provide an update on our business performance, as well as an update on our relationship innovation developments, which encompasses new or enhanced product offerings, our merchandising efforts, as well as user interface enhancements. During the second quarter, we generated $130.1 million in adjusted EBITDA as our Work Smarter efficiency initiatives, combined with improving macroeconomic factors contributed to a 230 basis point improvement in our gross profit margin. Our quarter-over-quarter revenue trends continued to improve, but we encountered a softer consumer environment, especially amongst our lower-income tier customers. As lower-income customers continue to be most impacted by the macroeconomic pressures, we continue to see this customer cohort reduce purchases the most. Conversely, AOV increased approximately 3% as our upper-income customers continue to represent a greater portion of our overall population and they continue to gravitate towards our higher price bundle products that provide a great gift and value. During the first half of our fiscal year, we have been prudent with our marketing spend in a challenging consumer environment in which we didn't see an adequate return on investment. As Jim mentioned, under our relationship innovation efforts, we are regularly evaluating our offerings, pricing, and bundling opportunities to ensure we have appropriate price points for each of our customer segments and we are actively managing the pricing elasticity of our product portfolio. Our focus on the customer journey, providing thoughtful gifting options, and having the appropriate pricing at all ends of the spectrum from value to luxury has never been greater. During the second quarter, we introduced lower price points and emphasized gifts that are in our lower price ranges to attract customers who may be more price-sensitive. This includes providing new value offerings such as our Flowers and Fields collection at 1-800-Flowers that features custom-crafted bouquets that match an array of sentiments and provide great value beginning at 39.99. And we continue to lean into new products and bundling offerings for customers who are looking to wow their recipients. Bundles allow us to feature products from our different brands and conveniently ship them to the recipient in the same package. This is also a great way to introduce our customers to our family of brands and give us a competitive advantage by marketing these bundles across multiple brand websites. These gift bundles provide great value to our customers and we continue to see customers trade up in price points for these wonderful gifts. As an example, we leverage Personalization Mall to launch a set of food gifts, with a personalized item such as our Harry & David charcuterie gift bundled with a personalized maple cutting board. This program was launched as a test and it has exceeded our expectations. We believe there is a lot of opportunity here and it once again demonstrates how our brands can complement one another and give our customers an elevated experience compared to others in the market. As we look ahead to Valentine's Day, this year we have a slightly better date placement than we had a year ago, as it's midweek and a few days past the Super Bowl, which should be favorable to us. We are excited about our new trio bundle that features our 1-800-Flowers roses, Harry & David wine, and Shari's Berries to create a magnificent gift. This trio bundle combines gifts from three of our brands and ships them in a single box that can be delivered overnight. They are sure to provide an extraordinary experience for the recipient and is a great last-minute gift idea. Through our Gift & More marketplace, which features curated items from local sellers, we can offer customers a broader assortment of gifts across a number of categories including jewelry, spa, gardening and home decor, to name a few. Providing customers with a variety of gifting options is a core strength of ours. We have an amazing family of brands and products that we can leverage to help our customers express every sentiment. Now I'll turn it over to Bill to provide the financial review.
William Shea: Thanks, Tom, and good morning, everyone. Jim and Tom highlighted, we continue to see significant improvements in our gross profit margin, remain steadfast in our Work Smarter initiatives that are focused on operating more efficiently through the use of technology and automation and also includes our logistics, labor, and inventory optimization efforts. This enabled us to offset what turned out to be a softer-than-expected second-quarter top-line performance. Going into the second quarter, we expected the consumer environment for discretionary spending to remain pressured, but to improve as compared to the past few quarters. Quarter-over-quarter sales trends did improve with our total revenue declining 8.4% and our e-commerce revenue declining 6.6%. But we had anticipated the pace of improvement to occur at a faster rate. Our gross margin improvement helped to offset the softer top line. The pace of improvement is better than we anticipated. Second quarter gross margin improved 230 basis points to 43.3% and this was on top of the 90 basis points improvement a year ago. This represents our 5th consecutive quarter of year-over-year improvement. As Jim said, we are well on our path to returning to our historical gross profit margin rate and by the end of this fiscal year, we now expect to be at approximately 40%. Our gross margin benefited from lower inbound freight costs, a decline in certain commodity costs, lower labor costs, and our Work Smarter initiatives that are driving operational efficiencies. A great example of these efficiencies include the labor savings we've been able to produce through our automation efforts. Our main distribution facilities in Medford, Oregon and Atlanta are all in their second or third year of automation, and we continue to achieve further productivity gains. Reduced the labor cost per package at these facilities by approximately 4% for the month of December and the first half of the current fiscal year as compared to a year ago. Additionally, due to our inventory optimization efforts, our inventory levels were in good shape heading into and out of the holiday season, leading to fewer inventory write-offs. We also had a helping hand from Mother Nature, who provided us with good weather this holiday season, leading to fewer shipping delays and related customer credits. These factors helped to offset a more promotional environment, as well as a new fuel shipping surcharge that was introduced later in the holiday period. We also continued to optimize expenses and excluding the impairment charge and the accounting impact of the non-qualified compensation plan on our P&L, we reduced our operating expenses by $10.8 million as compared to a year ago. As a result of these factors, our second quarter adjusted EBITDA was $130.1 million, as compared to $131.4 million in the prior year. Before we review net income for the quarter, I want to address the non-cash impairment charge we took in the Consumer Floral and Gifts group segment related to the Personalization Mall trademark. As many of you know, we periodically review the value of our intangible assets. Our revenue forecast for Personalization Mall, combined with a higher discount rate resulting from the higher interest rate environment required us to reevaluate the value of the intangibles on our balance sheet. Consequently, we recorded a $19.8 million non-cash impairment charge for our Personalization Mall business during the quarter. Net income for the quarter was $62.9 million or $0.97 per share, including the non-cash impairment charge of $19.8 million or $0.30 per share. Adjusted net income was $82.7 million or a $1.27 per share compared with adjusted net income of $82.7 million or $1.28 per share in the prior year period. Let's review segment results. Our Gourmet Food and Gift Baskets segment revenues declined 8.2% to $540 million, compared with $588.4 million in the prior year period. Contributed to this decline was our wholesale business, which declined $18.7 million as several retailers had reduced their orders last spring for the holiday season in light of the consumer environment. This segment's gross profit margin expanded 220 basis points to 43.2%, compared with 41% in the prior year period, benefiting from lower freight costs, a decline in certain commodity costs, lower labor costs, and lower inventory write-offs. Segment contribution margin declined $5.4 million to $118.2 million compared with segment contribution margin of $123.5 million in the prior year period, primarily due to the revenue decline. In our Consumer Floral & Gifts segment, revenues decreased 8% to $254.8 million, compared with $277 million a year ago. Profit margin expanded 230 basis points to 42.8%, compared with 40.5% in the prior year period, improving on lower freight and labor costs. Segment contribution margin, excluding the impairment charge was $30.4 million compared with segment contribution margin of $27.9 million in the prior year period. Now BloomNet segment. Revenues for the quarter decreased 17.1% to $27.2 million. Revenues were impacted by the lower order volume processed by BloomNet, which included the expected decline in orders by one of our business partners following their merger with a competitor. Gross profit margin was 47.6% compared with 42.2% in the prior year period, primarily reflecting lower freight costs, as well as product mix. Segment contribution margin was $9.1 million, compared with $9.3 million in the prior year period. Turning to our balance sheet. Our cash and investment position was $312 million at the end of the second quarter. Inventory declined to $161.3 million with inventory of $201.1 million at the end of last year's second quarter. In terms of debt, we had $195 million in term debt and no borrowings under our revolving credit facility. As a result, our net cash was $117 million, compared with $34.7 million at the end of last year's second quarter. During the quarter, we entered into a 10b5-1 stock repurchase plan and repurchased $5.4 million of our stock under this plan as of last Friday. This amounts to approximately 550,000 shares that were repurchased at an average cost of $9.73 per share. Let's turn to our guidance. We are lowering our fiscal 2024 revenue guidance, while maintaining our adjusted EBITDA guidance as we expect our gross margin improvement combined with our expense optimization efforts to offset a softer revenue outlook. Fiscal 2024, we now expect total revenues on a percentage basis to decline in the 7% to 9% range as compared with the prior year. We are affirming our adjusted EBITDA guidance to be in the range of $95 million to $100 million and our free cash flow to be in the range of $60 million to $65 million. Now, I'll turn the call back to Jim for his closing comments before we open it up for Q&A.
James McCann: Thanks, Bill. As we look back on the first half of the year and forward to the second half, our quarter-over-quarter sales trends continue to move in the right direction, albeit at a slower pace. We expect this to be offset by the gross profit margin recovery, which is now occurring at a faster pace than we expected. Combined with our relationship innovation and Work Smarter initiatives, we are having a clear and direct impact on our business. We expect these factors to further fuel our performance in a broader consumer discretionary environment improves. While it's difficult to predict when the consumer environment and in particular for the lower-income consumer is going to become more favorable, we believe our results will only be further buoyed by our relationship innovation and Work Smarter initiatives that are evergreen and well underway. Now, before I open the call to your questions, a public service announcement. The Valentine holiday is only a couple of weeks away and we suggest you place your orders for all those special people in your life today. Now, your questions.
Operator: [Operator Instructions] The first question comes from Anthony Lebiedzinski with Sidoti & Company. Please go ahead.
Unidentified Analyst: Good morning. This is Alex on for Anthony. My first question is regarding the Celebrations Passport members. Could you share a little bit more about spending of those members during the holiday season versus non-members? And give a little bit of color around passport membership and order frequency and whether that changed much from the prior year?
James McCann: Good morning, Alex. This is Jim. Too bad Anthony isn't here. That was the best pronunciation of his name we've heard so far, and he missed it. But to your question, Alex, Tom will give you the details on your question. But I would say, overall, the Passport customer is behaving as it has and as it continues now for quite a number of years. I think you'll hear later on that we are -- we have a lot of programmatic plans to enhance the Passport program. It's gradually moving from just a free shipping capability to now a loyalty program, special offers. So this is a special group of people and we're trying to treat them in the special way that we should. So we have a stream of programs that you'll see introduced throughout the course of this year. But Tom, as to the specifics of Alex's question - spending patterns of...
Thomas Hartnett: Yes. So trend lines year-over-year are the same as a year ago, which we continue to see that Passport customer purchasing 2 times to 3 times more than our average customer. So all those signs continue to move in the same direction.
William Shea: And the Passport customer represents about 20% of our revenues.
Thomas Hartnett: Right.
Unidentified Analyst: Appreciate the color. Thank you, guys. And I think you commented that commodity costs are normalizing to the mean. Curious about one other cost regarding ocean freight. Given some of the Houthi attacks and the Red Sea, are you seeing any significant freight cost increases?
James McCann: Alex, Bill will give you the color on that, but who would have thought a year ago that we'd be talking about Houthis, but we are, and we're anticipating some impact, but we haven't yet. Bill, specifically what's going on with ocean freight costs?
William Shea: Yes, due to the Houthi attacks in the Red Sea, certainly the spot markets have jumped up pretty dramatically on ocean freight. We have contracted rates that basically carry us through the end of the fiscal year, and so far the carriers have honored those rates. The bigger unknown is how long the issues in the Red Sea persist and whether that affects future negotiations and next year's holiday season. We begin negotiations for those rates in a few months and a lot will depend on what happens in that area.
James McCann: So, Alex, overall color on that too is, like so many companies that are U.S. based, we're taking the steps we can, longer range, to lessen our dependency for those commodity items that we do import so that we can source them domestically. I think pretty much every company in the U.S. has started a program like that. We'll continue to pursue that. But if the tensions in the Red Sea area continue into the summertime, we would anticipate that they would have an impact on our holiday imports that primarily arrive in the summertime. But we're -- as Bill said, through the end of the fiscal year, the June fiscal year-end, we don't anticipate a hit.
Unidentified Analyst: Appreciate the color there. And last question from me. Curious how you guys are thinking about acquisition opportunities for '24, '25?
James McCann: Well, I'd say, we're always in the market looking to see if there's a way that we can flesh out the offerings we have for our customers or find a service that would be beneficial to our service offerings, a suite of service offerings we have for our customers. And the third area that we look for acquisitions to help us is with talent acquisitions. I would say, there's a lot available right now because I think the cost of capital, which has changed so dramatically in the last 12 months, 24 months, has really put the -- a hurt on so many companies. So there's lots available, but we're being very judicious about what we look at and really being disciplined about does it genuinely help us, does it genuinely make us a better company, does it improve our service offering for our customers? So we're active. There's a lot available, but I wouldn't expect that we're going to be doing anything too dramatic.
Unidentified Analyst: I appreciate all the context there. Thanks for taking questions.
James McCann: Sure. Thanks, Alex.
Operator: And our next question comes from Michael Kupinski with NOBLE Capital Markets. Please go ahead.
Michael Kupinski: Thank you, and thank you for taking my questions. A couple of them. Can you talk about -- maybe I'm going to parse the commodity price opportunity there. Can you talk about how commodity prices and where they are relative to the mean -- in terms of maybe a percent? So you can kind of give us a sense of what are the opportunities left yet from where we are right now in terms of commodity prices relative to the means?
James McCann: Well, I would say -- this is Jim. Michael, I would say, two years ago, it was a peak in terms of how we got hit with commodity prices. It started, of course, with fuel when it went to well over $100 a barrel. Surcharges were high. We did -- Bill already mentioned that, we did have a surcharge hit that came at the very beginning of December this year that cost us a few million dollars this year. The other commodities that are important to us, we bake a lot, we prepare a lot of food. So butter, flour, eggs are all commodities that we use a lot of. Bill, where would you say we are in that scheme? I know we're not back to 2019 kind of levels. Where -- labor, by the way, is one. It's not a commodity, but it's a cost ingredient, and that's not going to come back. Whatever we did in terms of increases are going to stay, but the pressure there is alleviated. Where are we on actual commodities now, Bill?
William Shea: Yes, it's split. There's certain commodities, you mentioned butter and eggs. Those are certainly back to more their historical means, but there are others like sugar and cocoa that are still very high. I think if you take a step back from a gross margin standpoint, we're actually exceeding where our expectations were, up 230 basis points for the quarter, up 280 basis points year-to-date in the first two quarters of the year. You can kind of split those gains into almost two buckets there kind of. Some of the macro items, ocean freight, some of those commodity costs that you mentioned, labor availability. And having labor availability just gives us a lot of flexibility. So it allows us our automation efforts, our operational efficiencies, our logistics initiatives, our inventory planning, inventory go both in and out of the quarter was at the proper levels that we needed it to be at, which led to less inventory write-offs.
James McCann: But last year, on the inventory side, like so many companies, we inventoried up because of the logistic challenges. So we were sure we had the product. This year, we didn't have to buy so much so early.
William Shea: That's right. So again, as a result of maybe some of the macro trends and the global supply chain being more secure at the time, us being able to manage inventory at the appropriate level, which led to less inventory write-offs, which led to improved margins. So really a combination of both macro, as well as internal Work Smarter initiatives that we have.
James McCann: So overall, commodity costs are still higher than the mean we talk about, but have been improving.
William Shea: That's correct.
Michael Kupinski: Okay.
William Shea: Certain components of commodity costs have come back to the mean, but others are still at very high levels.
Michael Kupinski: Okay. And when do we begin to comp against the substantial portion of the Work Smarter initiatives you implemented?
William Shea: Work Smarter is an ongoing effort, so we continue to add to that. But certainly, an example is our automation efforts were in many of our distribution facilities, we're now in the second year. In one facility, we're in the third year of those automation efforts. Yet our labor efficiencies are down, and our labor costs per package are down like 4% this year over last year.
James McCann: No, our efficiencies are up. Our labor efficiencies are up, but our labor costs per package are down because of the automation.
William Shea: Exactly. Right.
James McCann: And we'll continue, Michael, with those automation efforts. So, as Bill mentioned, we're in a third and/or second year, depending on the facility, and we're implementing new programs on top of that now.
William Shea: So this is an ongoing effort, Michael, and we're going to continue to get savings into the future.
Michael Kupinski: Got you. And then can you talk a little bit about Personalization Mall then, in terms of its performance and how you are looking at Personalization Mall for the balance of this year and what expectations you might have there?
James McCann: There's a combination of things that have happened with Personalization Mall. Tom will give you the full color on that.
Thomas Hartnett: Yes, Michael. The Personalization Mall business was roughly in line with the segment, maybe a little bit better performance than the segment for the quarter. And we're expecting, just like our other segments, that the rate of the sales trend for the second half of the year will be in a better direction than they were in the first half of the year.
James McCann: One program you introduced there in Personalization Mall is, we launched the rechristened IP around things remembered. So that's a new brand with a new product line and a different range of product. That brand is a well-known brand, and it gives us the opportunity to be in a broader range of products. So higher price points, really fancy items. Like the vase we have that you’re wearing, actually tell Michael about that.
Thomas Hartnett: Yes. So that's one of our better sellers every day. I mean, it's a vase that I think retails for over $150. And obviously, it's personalized and it's a wonderful..
James McCann: Beautiful item.
Thomas Hartnett: Yes, beautiful item. So our AOVs, and again, we're just kind of getting started there because when we acquired the IP, it has taken us some time to build up the inventory and their best sellers. So we got to a portion of that this holiday season. But the average ticket is 175 basis points higher, or 175 times the Personalization Mall AOV. So it's a good price point. Great gifts dealing and addressing a different cohort of customers, whether it be weddings or retirements or special moments in people's lives, so.
James McCann: But all leveraging off the same fixed cost, same fixed facility that we have there at Personalization Mall, Michael.
Michael Kupinski: Got you. One last question, if you don't mind. In terms of your revenue guidance for the year, what expectations are baked into your guidance in terms of like the general economy? Are you -- can you kind of give us some sense of what those expectations are?
James McCann: Bill?
William Shea: Michael, we revised our revenue guidance to be down 7% to 9%, with the first half of the year being down around 9%. So applying a slightly better trend into the second half of the year. I think we've modified our guidance. I think, at the beginning of the year, we were hopeful that the improvements that we're seeing would be even be more accelerated both through the second quarter and into the second half of the year. So it is improving at a slower pace than what we originally anticipated and that is tied to the macro environment not being as robust as we had hoped it would be.
James McCann: So baked into that is the trend continues to improve, just not at the pace we were hoping for.
Michael Kupinski: Got you. Okay. That's all I have. Thank you.
James McCann: Thank you, Michael.
Operator: And our next question today comes from Linda Bolton Weiser with D.A. Davidson. Please go ahead.
Linda Bolton-Weiser: Yes, hello.
James McCann: Hi, Linda.
Linda Bolton-Weiser: Hi. So I was wondering just your comments about the consumer environment. I mean, consumer sentiment, Michigan consumer sentiment has been below 70 now for like two years. So it just seems like we're stuck in this low consumer sentiment thing, which is not good for your business, obviously. But if it does persists, let's say for another year, what would you do different in your business? Is there anything additional you could do in terms of cost structure or like how would you think about things if this just continued on like this, with revenue declines like this for another? How would you think -- what would you think about doing differently?
James McCann: Thanks for your question, Linda. We missed you in the last quarter. Really good question. And one we talked a lot about over the last month or two. And the answer is a couple of things. One is we're still recovering from the COVID bounce as so many of our ecommerce kinds of companies like us experience. So we're still in that back end of the wave of that. The second thing is that I think the consumer sentiment generally is pretty good, but it's bifurcated. And categories like ours are seeing it. We look very hard at the competitive data that we have that we buy. And the good news, bad news. Bad news is everyone in our categories has gotten hit with the back end of this COVID wave. The good news is that we're holding share or gaining share. So good and bad. And what we think would -- if this trend didn't continue on the pace that it is for recovery and it went the other way, we have several levers that we could pull to make sure that we continued on the profitability trend that we're on, which is quite healthy, but we think could be. If the consumer trend continues on this pace and maybe improves a little bit, then it's really good. If it declines from the trend we're on and gets worse, then we have quite a bit of leverage in our operating model to make that -- to make up for that and to make sure our bottom line continues to be strong. Bill, what else would you add to that?
William Shea: Yes, just from a top-line perspective, we continuously evaluate our offerings, our pricing, our bundling opportunities to ensure we have the appropriate price points for each of our consumer segments. And we have some pricing elasticity in that. So we are very consumer-focused, trying to improve the consumer experience on that, ultimately to buff against some of those macro trends.
James McCann: So when you talk about elasticity, you mean price points both at the higher end and the lower end.
William Shea: From a costing perspective, our trend lines on our gross margin are moving as -- at an accelerated pace back towards the mean of the kind of the low 40s. So we continue to expect that gross margins will improve. And our expense optimization, you've seen that for the last year and a half and we're going to continue those efforts to offset any softness in the top line.
James McCann: So in summary, we hope it doesn't happen, but we do have capability and plans that if the trend were to turn negative, that we'd be -- we'd have the ability to respond to it appropriately.
Linda Bolton-Weiser: Thanks. Can I ask one more about the Google? I think they've made some additional changes with regard to their blast e-mail marketing that some of my consumer companies have mentioned. They're trying to figure out what that means for them. Have you analyzed what those changes mean for your marketing processes?
James McCann: We have, Linda. There's lots of changes. And this both -- the changes that Google is implementing or talking about implemented, what they have implemented. And there's also big macro trends that are happening in the marketplace that we feel we're in an awfully good position to weather and respond to. And frankly, some of the things we experienced during the last quarter give us hope that we're going to be less dependent on the big search engines in the future than we were. One of the big assets we've accumulated through the COVID burst was a huge increase in our database, and that gives us some flexibility and less dependency on search engine activity. But Tom, you know really well the specifics of Linda's question.
Thomas Hartnett: Yes, I mean, I think we're talking up, Linda, is just another change for Google, which is a very dynamic business and always has changes going on. Certainly, we also saw some significant changes in just the SERP, in how the landing pages for Google showed up this year, which we're always reacting to. Overall, this was a competitive environment. Their CPMs and CPAs were up, et cetera, and we kind of expected that to occur.
James McCann: And if you -- all of your marketing budget or a substantial part of your marketing budget is at that bottom of the funnel kind of activity there, it's going to have big ramifications on you. Fortunately for us, that's not the case.
Linda Bolton-Weiser: Thank you very much. I appreciate it.
James McCann: Thanks, Linda.
Operator: [Operator Instructions] Today's next question comes from Alex Fuhrman with Craig-Hallum. Please go ahead.
Alex Fuhrman: Hi, guys, thanks very much for taking my question. And congratulations on the strong bottom line results in the quarter. Bill, I was wondering if you could unpack the lower revenue guidance a little bit more. It seems like the Q2 results were not very far off from what we were all expecting, but the change to the full year revenue guidance is not insignificant. So is it something maybe you're seeing in kind of the lull period between Christmas and Valentine's Day that was maybe a little bit disappointing or just curious if you're seeing any kind of early trend lines into Valentine's Day now or if that's maybe too early?
James McCann: Well, it's I would say definitely too early. Valentine's Day is a real pain in the neck because it's very, very busy for several days. Mother's Day, it's a two-week ramp up. The holiday quarter, it's from Thanksgiving on. It's maybe a week or two before Thanksgiving. But Valentine's Day, it's a big burst of business. Customer dynamic changes, it goes from majority women to majority men, which are wonderful customers, but they don't come back as regularly and frequently as female customers do. So it's something we -- it's expensive to prepare for. Our cost of goods jumps way up and we have this big burst of business. So yes, it's a little difficult for us to project exactly what will happen at Valentine's Day. But as Tom mentioned, day placement is critical for Valentine's Day. And last year, for the first time, the Super Bowl was right before Valentine's Day. So Valentine's Day was Tuesday last year and the Super Bowl was at Sunday. They moved it back a week and it's -- from its normal schedule to allow more time for the extra regular season game and have -- still have two weeks from the additional playoffs till the Super Bowl. So we think that we're still going to have that this year. So it's still close to Valentine's Day. But now you have three selling days, Monday, Tuesday and Wednesday, with people in their normal work routines and not having the distraction of the Super Bowl just 48 hours before Valentine's Day. So we're expecting all of those things will endure to our benefit. Also, we have to watch the weather carefully because that's a big variable. So nothing. We're excited that Valentine's Day is coming. It's a pain in the neck. As I've mentioned, I've been through a few of these, but we don't see anything trend-wise that would give us any concern or, frankly, any reason to get up and kick our heels.
William Shea: Yes. But, Alex, I mean, while our sales trend did improve in the second quarter, it didn't move at the pace of recovery that we had anticipated. So still a little softer than we wanted it to be. And as a result, our second half of the year, which we had originally thought to be at a faster improvement than we currently at, that's where we changed our guidance.
Alex Fuhrman: Okay. That's very helpful. Thank you both.
James McCann: Thanks, Alex.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to Jim McCann for any closing remarks.
James McCann: Well, thanks so much for your time and interest today. Please let us know if you have any other questions. We're available to answer them for you. Please reach out. And do remember, as Alex just mentioned, Valentine's Day is fast approaching. Today's February 1. Valentine's Day is the 14th. Valentine's weekend begins around the 8th or 9th. So make sure the people in your life that you care about know how much you care for them. Thanks for your time today.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.